Operator: Welcome to the Vimian Group Q3 Report 2025 Presentation. [Operator Instructions] Now I will hand the conference over to the speakers, CFO and Interim CEO, Carl-Johan Zetterberg Boudrie; and Magnus Kjellberg, Vimian Specialty Pharma. Please go ahead.
Carl Johan Boudrie: Good morning, everyone, and welcome to Vimian's Third Quarter Earnings Call. I'm Carl-Johan Zetterberg Boudrie, CFO and Interim CEO. And with me today is Magnus Kjellberg, who's leading Specialty Pharma, our largest segment, representing almost 50% of Vimian. We'll go through the quarterly results, and Magnus will give you some additional insights to our Specialty Pharma segment. We delivered strong revenue growth of 19%, with 9% organic growth in the third quarter. We also saw strong earnings growth with adjusted EBITDA up 17% in the quarter. Both Specialty Pharma and Veterinary Services continued to deliver strong performance, and our MedTech segment returned to organic growth in the quarter after a tougher second quarter this year. In August, we received the positive news in the U.S. indemnification dispute. The court awarded us $40.2 million in damages, which means that we're entitled to compensation exceeding the amount we paid in the settlement with DePuy Synthes in 2023. Our M&A pipeline continues to build, and we are working hard to progress key targets in the pipeline. Turning to the numbers. And looking at the past years, Vimian has a strong track record of growth and profitability with 16% compounded annual revenue growth and 14% adjusted EBITDA CAGR between 2022 and the third quarter of 2025. For the third quarter isolated, we reported 19% total revenue growth, reaching EUR 104.3 million. Organic growth in the quarter was 9%, driven by strong performance in Specialty Pharma and Veterinary Services. And it was also satisfying to see MedTech returning to organic growth of 5% in the quarter. In total, we had 40% contribution from acquisitions and 4% negative impact from currency movements in the quarter, predominantly from the U.S. to euro movements. We delivered strong adjusted EBITDA growth of 17% in the quarter to EUR 25.5 million. Margin was 24.5% compared to 25.0% in the same period last year, negatively impacted by our investments in the commercial organization in MedTech Orthopedics and the consolidation of the Dental business, iM3, that has a different financial profile. With a headline overview, I will hand over to Magnus for an update on Specialty Pharma, Followed by a walk-through of the other segments and financials.
Magnus Kjellberg: Thank you, Carl-Johan. For Specialty Pharma, we are satisfied to deliver another quarter of all-time high revenues for the individual quarter. We delivered double-digit organic growth of 11% with growth across all 4 therapeutic areas. The strongest contribution this quarter came from Specialty Pharmaceuticals and Specialised Nutrition. In Specialty Pharmaceuticals, new products, new contracts with corporate clients and internationalization were key growth drivers. In Specialised Nutrition, we've got the opportunities to do another national campaign across the U.S. with one of the leading retailers that supported growth in the quarter. Adjusted EBITDA grew organically with 14%, and we had 150 basis points margin improvement driven by the strong revenue growth and good drop-through to bottom line. Turning to next page. I will put Q3 performance into a strategic context. We have a 2-pronged strategy, organic and M&A-driven growth. Our organic growth strategy revolves around 3 pillars: cross-selling, innovation and education. Cross-selling, we currently have 16 cross-selling initiatives ongoing, representing 18% of sales. A key initiative has been to nationalize our portfolio by going direct with our own sales force as opposed to a distributor. Our acquisition of ICF in 2020 is a case in point. ICF, great topical product range, great brands, great presence in Italy, proprietary production, very synergistic with our AMVI range, but largely an Italian phenomenon, relying upon third-party distributors outside of Italy. We have internationalized business by terminating the distribution contracts for the veterinary channel in France, the Netherlands and Belgium. We now go direct with our own sales force in these markets. We have also expanded our channel presence. We have launched a range online in the U.K., Scandinavia, Germany and France. All in all, we have grown the international business of ICF during our ownership by 18% CAGR. In Q3, our internationalization and channel expansion initiatives of the ICF range continued with good momentum. 60% of cross-selling growth came from these ICF initiatives. Innovation, we launched 21 products in Q3 and currently have 70 products in pipeline. Innovations in antimicrobial otology continue to be important. Our antimicrobial otology range, typically substitutes antibiotics. Also, it is very synergistic to our AMVI range, 50% of all allergic dogs gets otitis as a secondary infection. In Q3, we launched a follow-up to our bestseller Otodine, called Peptivet4. It reduces bacterial growth in the ear canal, it includes 2 novel peptides, which we have patented. Also, the composition ensures a slow release function, so it lasts between applications. Education, we attended 30 congresses in Q3. A key highlight was the British Equine Veterinary Association Congress in Birmingham, where we were a gold sponsor. We were also gold sponsor at the European Society of Veterinary Dermatology Congress in Bilbao. Peptivet4 was an important launch at the Congress, and we continue to promote the advantages of our molecular All testing platform, Pet All Xplorer, PAX, at the Congress. M&A, the prospects for M&A are strong. Our industry remains highly fragmented. We're taking our business from EUR 4 million of sales at inception 10 years ago to more than EUR 180 million today, a growth of 45x. And M&A has been an important tool for the trajectory. And M&A will continue to be an important tool going forward. Year-to-date, we have screened more than 235 targets in existing and new therapeutic areas, a testament to the fragmentation of the industry. More M&A will also unlock more cross-selling opportunities. Turning to the next page, I will provide more color on cross-selling. 39% of year-to-date organic growth comes from cross-selling. Increased direct market presence and internationalization has been the main contributor, 49%, channel expansion, 35%, and the remainder has come from substituting third-party products with our own products. Our cross-selling strategy going forward rest on 3 pillars: grow existing cross-selling initiatives; launch new cross-selling initiatives, we have 8 to be launched in 2026; and create new cross-selling initiatives from M&A. I will now hand back to you, Carl-Johan.
Carl Johan Boudrie: Thank you very much, Magnus. Let me give you some insights to the other 3 segments of Vimian, starting with MedTech, where MedTech delivered 46% total revenue growth and 5% organic growth, driven by mid- to high single-digit growth in orthopedics in Europe and Asia Pacific, combined with a flat development in North America, which is a recovery from the second quarter this year. Although I'm pleased with the recovery in U.S. orthopedics during the quarter, the surgery market is likely to remain soft over the coming period, and we continue to deploy our actions to further strengthen our commercial performance and outperform the market. Even if it will take some time before we see the full financial benefits of these measures, I'm confident that we operationally are taking the right actions and now have a strengthened team in place. Long term, this is a very attractive market with millions of untreated animals and opportunities to educate more veterinarians to unlock growth. Our dental operations with iM3 and the 2 bolt-on acquisitions completed earlier this year continued to deliver solid growth in the quarter. And in the beginning of October, we completed a small acquisition of an AI-enabled imaging software that further complements and strengthens our dental portfolio. Adjusted EBITDA grew 26% in the quarter and the year-over-year margin in MedTech was impacted by our investments in the commercial organization in U.S. orthopedics to drive growth and the consolidation of iM3 from the 1st of October last year. All in all, the third quarter marked an important step in the right direction for our U.S. orthopedics business and our dental operations continues to show good performance. Veterinary Services continued to perform well, with 11% organic growth, driven by new member growth and increased penetration of services across the member base. The total number of member clinics reached 9,940 at the end of the quarter. The margin showed a sequential improvement but year-over-year decline as we now start to initiate planned investments in new geographies and services, which we'll see more of in the coming quarters. Adjusted EBITDA for the third quarter grew by 4%. Overall, we're satisfied with the continued good momentum in Veterinary Services. Diagnostics delivered 4% organic growth despite lower level of disease outbreaks compared to the same period last year. Year-to-date, the segment delivered 13% organic growth. The margin reflects our investments in new products to diversify into the companion animal market, and we also explore M&A opportunities to strengthen our offering within the companion animal diagnostics space. Before I will go deeper into the quarterly financials, I want to give you a brief summary of M&A activities and the important part that has played in us executing our strategy and continue to build Vimian as a leading player in the global animal health industry. M&A continues to form an integral part of our strategy, and we're now accelerating our efforts to advance and progress our pipeline, covering both existing platforms and new market niches. The past 5 years, we have completed 44 acquisitions, adding approximately EUR 170 million in revenue across all 4 segments, and spread across the key regions, North America, Europe and Asia Pacific. In the past 12 months, we have completed 4 acquisitions in Veterinary Dental, adding EUR 47 million in revenues. Veterinary Dentistry is a new market niche for us and one of the fastest-growing categories in the veterinary clinics today, 80% of grown-up dogs and cats suffer from periodontal disease, and we see significant white space here. Looking ahead, we'll continue to build on this platform, and we have established a strong network among entrepreneurs in the dental space. We also continue to execute on our sustainability agenda focused on animals, our people and the planet. During the third quarter, our efforts in this area was recognized when we achieved improved ESG ratings with Sustainalytics to low risk. And earlier this year, MSCI upgraded our rating to AA. With that business review, let me give you a walk through on the financials for the third quarter. Adjusted EBITDA in the third quarter was EUR 25.5 million, an increase of 17%. This represents a margin of 24.5%. The lower margin compared to the same period last year is driven by our investments in the commercial organization in U.S. Orthopedics to drive growth and the consolidation of iM3 from October 1 last year with a lower margin profile. We report an operating profit of EUR 17.5 million, a significant 74% increase from last year's result of EUR 10.1 million. Items affecting comparability decreased in the quarter and totaled EUR 1.7 million, with the largest contribution from MedTech relating to M&A. The net financial items of minus EUR 4.1 million consists of 3 main components: finance expense of minus EUR 4 million with an average interest rate of 4.6%; the quarterly discounting impact of minus EUR 0.8 million; and impact of EUR 1.3 million from probability adjustments on contingent considerations; and lastly, a negative impact of EUR 1 million from exchange rate effects on revaluation of debt. The income tax expense for the quarter amounted to minus EUR 6.6 million, inflated by additional taxes paid for reassessment of prior year taxes in one of our entities. We are currently reviewing tax management in the group to over time reduce our effective tax rate. In total, this results in a profit for the period of EUR 6.8 million with earnings per share of EUR 0.01 for the quarter. Cash flow from operating activities reached EUR 10.8 million in the third quarter, impacted by the higher tax expenses in the quarter and a negative impact from currency effects. Net working capital amounted to EUR 102.2 million at the end of the quarter, which is equal to 24% of revenue. The EUR 102.2 million is an increase from EUR 99.5 million at the end of June, which represented 25% of revenue. So in relation to sales, net working capital decreased slightly in the quarter. The majority of the increased working capital is mainly related to lower trade payables. Cash flow from investing activities of minus EUR 5.1 million is driven by investments in intangible assets and equipment, and the cash flow from financing activities of minus EUR 22 million is relating to repayment of borrowings. After the end of the quarter, we received the first payment of approximately $15 million following the court decision in the U.S. indemnification dispute. At the end of the period, net debt amounted to EUR 253.5 million, which is down from EUR 260.6 million at the end of the second quarter. Leverage in the quarter equaled 2.1x, and we remain well capitalized for future M&A opportunities. On a concluding remark perspective, this will conclude the review for the third quarter, where we delivered strong revenue growth of 19% and 9% organic growth. We also delivered strong earnings growth with 17% adjusted EBITDA growth. Specialty Pharma and Veterinary Services continued to deliver strong performance, combined with the recovery in MedTech orthopedics. Looking ahead, we will continue to implement our actions to strengthen commercial performance in U.S. Orthopedics and we're also accelerating our efforts to expand and progress our M&A pipeline, looking at both existing and new market niches. We see our markets continuing to grow with increasing pet ownership, humanization of pets and an aging pet population. And I appreciate that we remain well positioned in the current geopolitical landscape with a well-diversified operations. With these concluding remarks, I would like to open up for the Q&A session.
Operator: [Operator Instructions] The next question comes from Arvid Necander from Carnegie.
Arvid Necander: So first off, could you just comment on the CEO recruitment process? What's the current status? And where do you expect to be -- when do you expect to be able to announce a name? And secondly, for Spec Pharma, can you break down the organic growth by subsegment with allergy, dermatology and specialized nutrition? And perhaps comment a little bit on the momentum and your expectations going into Q4 considering all these recent launches, but also the campaign you ran last year. I'll start there.
Carl Johan Boudrie: Thank you very much, Arvid. I'll start to comment on the CEO recruitment, and then I'll let the specialist, Magnus, to cover Specialty Pharma. As you know, there is an external search ongoing, and that is proceeding according to plan. I'm confident that we'll be able to announce a very strong CEO for Vimian, and we expect that to happen within not the too distant future.
Magnus Kjellberg: Organic growth in Specialty Pharma. So we had organic growth in all 4 therapeutic areas in the quarter with particularly strong growth in Specialty Pharmaceuticals and Specialised Nutrition. We're very pleased with our business with Costco, which is a great client of ours. It's a repeat business for us, and we have increased wallet share with that client, and we expect to do more business with Costco also going forward. Specialty Pharmaceuticals, the personalized medicine business is a business with strong trajectory. They've grown the business strongly Q1, Q2, Q3. So consistently, I think we're up 15% year-to-date in Specialty Pharmaceuticals and we have strong margins in that business, 85% gross margins, 35% to 40% EBITDA margin. So very pleased with that performance. And there were a few orders in dermatology that didn't come across that we hope to come across in this quarter, but we believe that, that will come in the coming quarters.
Arvid Necander: Great. Maybe just a quick follow-up on that. Does the current momentum in your view support this being a double-digit growth business going into 2026 as well?
Magnus Kjellberg: Well, we definitely view Specialty Pharma as a double-digit organic growth business. We have grown this business since IPO per quarter on average by 12%. And year-to-date, we're up 9%. So, yes -- no, we view ourselves as a double-digit growth business for sure, yes.
Operator: The next question comes from Adrian Elmlund from Nordea.
Adrian Elmlund: A couple of questions from me here. So firstly, regarding the cash flow, which is obviously down year-over-year, could you just give us some more details behind what you expect to do to increase the cash conversions going ahead?
Carl Johan Boudrie: Of course. So let's start with that question. I think if we look a few quarters back, and I think as many of you remember, operating cash flow and cash conversion has been a topic that we focused on, an important aspect for us to improve. And we have seen a clear improvement if we look in the latest quarters in terms of operating cash flow and cash conversion. In this quarter specifically, our operating cash flow and as a consequence, the cash conversion is burdened by the reassessment of taxes and additional taxes paid as we mentioned in one specific entity. And secondly, we have negative impact from FX. So we've had certain, you can say, one-offs that impacted us negatively, but we'll continue to focus on the cash conversion and our operating cash flow that is an important topic for us to drive and to be very good at as well.
Adrian Elmlund: Okay. Fair enough. Kind of a follow-up, I guess. You're also starting to discuss the M&A again, a bit more now as of recent. And then referring back to 2021, when you have very high leverage. Are you willing to close to your historical leverage ratios? Or do you think that you will have systematically lower leverage going ahead, even though when you're sort of reactivating the M&A again there?
Carl Johan Boudrie: As you say, I mean, we have a two-pronged strategy where M&A is 1 of the 2 pillars, a very important vehicle for us to achieve our strategy and to become a leader in the global animal health space. And it's correct that, yes, we are accelerating our efforts in M&A because of the importance to our strategy. We do have a long-term financial target saying that we will reach EUR 300 million by 2030, and that we will not go above 3.0x in leverage. Having that said, of course, we are working hard to accelerate our M&A agenda. We have sort of a strong financial -- strong financials. We're able to execute on M&A, which means that we will execute on the M&A opportunities that we think are the right ones when they are able to be executed. But again, I refer back to our long-term financial targets in terms of we do have a target besides the EUR 300 million in adjusted EBITDA that we're going to keep sort of a sound financial profile of our balance sheet.
Adrian Elmlund: Okay. Last question here, if I may. Did you have any remarks on the sort of recent news regarding the U.K.'s watchdog basically requiring vets to make prices more public and et cetera? Do you think this affects you in any material matter? And do you expect this to affect the overall market in the U.K?
Magnus Kjellberg: No, it does not affect us in a material matter. The scope of the CMA review are the 6 key corporates in the U.K. We are a supplier to these corporates, but we're not in scope of the review. We are supporting price transparency and ownership transparency. We think that's a positive for pet parents. But again, the scope and focus of the review are the 6 key corporates, not the suppliers and Vimian is a supplier to these clients.
Adrian Elmlund: And just very quickly and the market in general, do you think that will change in any way?
Magnus Kjellberg: The dynamics of the market for Vimian will not change in any material way. I think that we do very good business with these corporates, we do very good business with the independents, 60%, 65% of our clinics in U.K. are part of the corporate. So very important client base. But for us, it is not a material matter.
Operator: The next question comes from Adela Dashian from Jefferies.
Adela Dashian: One follow-up on the development that you've seen in MedTech. And I'm sorry if I missed it earlier, but I guess, the organic growth is positive. It's a positive development, positive surprise. Would you say that this is more categorized by an inflection point in the end market or as a result of the commercial activities that you've onboarded?
Carl Johan Boudrie: Overall, MedTech, the organic growth was 5%. And of course, we're pleased to see that we see a start of a recovery in the MedTech segment. Maybe important to note, as we stated in the earnings presentation that the growth -- organic growth was driven by mid- to high single-digit growth in Europe and Asia Pacific. And in North America, we saw more flat development, but a clear improvement from what we saw in the second quarter of this year. In terms of the end market, and there are data that should suggest that the market is starting to stabilize, which probably resonates with our view of the market, but we don't foresee any clear improvement in, you could say, the market sentiment in the near-term periods. But we are, of course, deploying a number of measures to ensure that we'll continue to drive growth and grow above the market.
Adela Dashian: Got it. And then when it comes to your cost base, it has been somewhat elevated this year as a result of the investments that you're making in several different segments. How do you view this going to 2026? I mean do you still think that you will need to push through with the commercial activities in MedTech and then also in Diagnostics and Veterinary Services, you've been focusing on expansionary efforts? So what's your view on that?
Carl Johan Boudrie: So we're making sure that we have a good balance in terms of investing in the business to drive sort of future growth and further growth and to strengthen our position in the market with, as I said, sort of a combination of a like-for-like margin improvement going forward. So we'll continue to invest in the business to make sure that we develop our business in a very strong way, both sort of short to long term, but with a focus on delivering like-for-like margin improvements.
Operator: The next question comes from Mattias Häggblom from Handelsbanken.
Mattias Häggblom: Yes. I had one basically related to the final one, but perhaps a bit more specific to the U.S. MedTech. So the return to growth in U.S. MedTech will be driven by operational changes, including a build-out of the field sales organization. So how should I think about the profit contribution from U.S. MedTech until volumes improve as most of these initiatives are associated with OpEx expansion first before perhaps volumes return?
Carl Johan Boudrie: No, as you said, I think our view and our focus is to ensure that we drive sort of continued sequential improvement in MedTech Orthopedics and in U.S. MedTech Orthopedics specifically. I think to your point and as we stated earlier, we don't foresee any clear market improvement near term why -- so we will drive growth, both by winning new customers but also expanding share of wallet with existing customers. So we will continue to make sure that we invest in the organization to improve our commercial efforts, but also from a long-term perspective because we do believe long term, this is a super interesting niche of the animal health market with a lot of unmet medical needs and sustainable -- or sorry, clear opportunities to educate more veterinary surgeons. We continue to drive that. On your question specifically on margins. Yes, of course, we're investing to build the business long term while we need to see growth sort of returning for us to also see margins starting to improve gradually.
Operator: [Operator Instructions] The next question comes from Kavya Deshpande from UBS.
Kavya Deshpande: I just have one on Specialty Pharma, please. I was wondering if you could give us more color on the margin expansion in that business? Just because we traditionally think of nutrition is the lowest margin business and perhaps it was overrepresented in the mix this quarter because of the sales campaign. And when we look at the last time, you did the sales campaign in Q4, you saw sort of margin contraction even accounting for a few one-offs. So basically, has the underlying nutrition margin sort of improved from an operational perspective?
Magnus Kjellberg: So the business that we won in the quarter, which is a repeat business, as you referred to from Q4 last year is on par with the margin overall for our U.S. Specialised Nutrition business. In terms of the 150 bps of more improvement that we see in the quarter, we have expanded margins in the Specialty Pharmaceuticals segment and in the Allergy and Dermatology segment, and that has weighed up the business that we won in the quarter. So basically, what we're doing is that thanks to the strong revenue growth that we have across the 4 therapeutic areas, we have healthy gross margins across 4, and a good portion of the growth that we generate, the additional gross profit also travels down to the EBITDA line and drives margin expansion.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Carl Johan Boudrie: Thank you very much for participating today and listening to our earnings call for the third quarter. We're pleased with a good third quarter. We delivered strong revenue growth and good organic growth of 9%. We also delivered strong earnings growth of 17%, especially a very continued solid momentum in Specialty Pharma and Veterinary Services. Looking ahead, we'll continue the accelerated implementation and execution of our strategy where we will drive strong organic growth combined with strong M&A-driven growth. So with that concluding remarks, thank you very much for today, and have a lovely day.